Operator: Good day, and thank you for standing by. Welcome to WM Third Quarter 2024 Earnings Conference Call. [Operator Instructions] Please note that today's conference is being recorded. I will now hand the conference over to your speaker host, Ed Egl, Vice President, Investor Relations. Please go ahead.
Ed Egl: Thank you, Olivia. Good morning, everyone, and thank you for joining us for our third quarter 2024 earnings conference call. With me this morning are Jim Fish, President and Chief Executive Officer; John Morris, Executive Vice President and Chief Operating Officer; and Devina Rankin, Executive Vice President and Chief Financial Officer. You will hear prepared comments from each of them today. Jim will cover high-level financials and provide a strategic update. John will cover an operating overview, and Devina will come into details of the financials. Before we get started, please note that we have filed a Form 8-K that includes the earnings press release and is available on our website at www.wm.com. The Form 8-K, the press release and the schedules of the press release include important information. During the call, you will hear forward-looking statements, which are based on current expectations, projections or opinions about future periods. We'll also be providing an updated outlook for 2024. This outlook does not include transaction and advisory costs incurred in connection with the acquisition of Stericycle nor post-closing financial contributions related to the planned acquisition of Stericycle. All forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially. Some of these risks and uncertainties are discussed in today's press release and in our filings with the SEC including our most recent Form 10-K and Form 10-Qs. John will discuss our results in the areas of yield and volume, which unless stated otherwise, are more specifically references to internal revenue growth or IRG from yield or volume. During the call, Jim, John and Devina will discuss operating EBITDA, which is income from operations before depreciation and amortization. Any comparisons, unless otherwise stated, will be with the prior year, net income, EPS and income from operations and margin, operating EBITDA and margin and SG&A expense and margin results have been adjusted to enhance comparability by excluding certain items that management believes do not reflect our fundamental business performance or results of operations. These adjusted measures, in addition to free cash flow, are non-GAAP measures. Please refer to the earnings press release and tables, which can be found on the company's website at www.wm.com. For reconciliations to the most comparable GAAP measures and additional information about our use of non-GAAP measures and non-GAAP projections. This call is being recorded and will be available 24 hours a day beginning approximately 1:00 P.M. Eastern Time today. To hear a replay of the call, accessed at WM website at www.investor.wm.com. Time-sensitive information provided during today's call, which is occurring on October 29, 2024, may no longer be accurate at the time of a replay. Any redistribution, retransmission or rebroadcast of this call in any form or not the express written consent of WM is prohibited. Now I'll turn the call over to WM's President and CEO, Jim Fish.
Jim Fish: Okay. Thanks, Ed, and thank you all for joining us. Our quarterly results once again reflect robust operational performance in our collection and disposal business as well as our success executing on our strategic priorities. We're pleased to report another quarter of double-digit operating EBITDA growth, positioning us well to deliver about $6.5 billion for the full year, near the upper end of our guidance. Our cost optimization efforts and disciplined pricing programs together are increasing the spread between price growth and our cost to serve and our sustainability investments are providing margin accretive growth. As we'd anticipated, the third quarter set a new record for operating EBITDA margin at 30.5%, a year-over-year expansion of 90 basis points. This consistent growth underscores our commitment to delivering exceptional value to our shareholders. We remain focused on furthering our cost optimization efforts in collection and disposal in our collection and disposal business and improving frontline retention. And John will share more about the headway we're making here. Our teams are also hard at work integrating acquisitions in key markets and have closed nearly $800 million of solid waste acquisitions through the first nine months of the year with a strong pipeline of additional deals. We continue to progress towards closing the acquisition of Stericycle, which will add a complementary medical waste platform to our business and expand our suite service offerings. During the quarter, Stericycle shareholders approved the merger agreement. We received clearance from all international regulators, except for Canada, which is progressing. We're also advancing our integration planning, which has confirmed our confidence in the value of the Stericycle acquisition. We look forward to welcoming Stericycle team members to the WM team this quarter. Turning to recycling. During the quarter, we completed eight projects across our network, including six automation upgrades and new facilities in New York and Florida. Our team's focus on execution has been excellent with two of the projects completed in the quarter beginning operations ahead of plan. We've now completed 24 of the 39 projects in the growth program, which have added 1.5 million tons of annual recycling capacity across North America. Our automated recycling facilities are consistently delivering lower labor cost per ton and higher blended value on our commodity sales compared to our legacy plants, which translates into better operating EBITDA margins. In the renewable energy business, we remain on track to commission the four new renewable natural gas projects in the fourth quarter, adding to our DFW plants, which we brought online earlier this year. With these five projects, along with the two we completed prior to 2024, we will have seven of the 20 planned projects online by year-end. There are an additional 12 projects in active construction and the final plant will begin construction in early 2025. The seven projects are expected to contribute approximately 6 million MMBtus of annual production in 2025. Next year, is anticipated to be a pivotal year of contributions from renewable natural gas investments, and we're committed to scaling this unique opportunity to create long-term value for the environment and shareholders alike. We came into this year expecting strong execution across several fronts. And through the first nine months, we've delivered results that exceeded our own high expectations. As we look ahead to 2025, we anticipate continued growth in our solid waste business, increased contributions from our sustainability growth investments and the successful integration of the Stericycle business to come together to create a significant step change in revenue, earnings and free cash flow. I want to thank our dedicated team, whose hard work and commitment make all of this possible. And now, I'll turn the call over to John, who will provide a deeper dive into our operational results for the quarter.
John Morris: Thanks, Jim, and good morning. Before we dive in our operational performance and financial metrics, I want to take a minute to acknowledge and thank our team for providing safe and reliable service to our customers, especially considering the severe weather events. Hurricanes Helene and Milton effect of both our employees and the communities we serve. We are working hard to support those impacted helping restore a sense of normalcy in these areas. Turning to our results. We continue to prioritize technology and automation to optimize our cost structure and enhance operational efficiency. This is evident in operating expenses of 60.6% of revenue in the third quarter, which improved 70 basis points and overcame a 30 basis point headwind from additional workdays in the quarter. This is the fourth consecutive quarter this measure has been below 61%. This quarter's result is driven by continued benefits from cost optimization, pricing discipline and easing inflation. We also benefited from lower fuel prices and stronger contributions from our renewable energy business, though these gains were offset by the impact of increased recycled commodity prices on the brokerage business. Our operating expense performance was largely driven by our collection business, in particular, in labor and repair and maintenance costs. Labor costs improved through a combination of retention, technology and automation. We've automated more than 800 routes in our residential fleet since 2022, reducing our labor dependence, boosting efficiency and improving safety performance. The continued adoption of scheduling and planning tools, advanced mapping systems and dynamic routing is also driving efficiency and reducing operating costs. In the third quarter, our weighted average collection efficiency rose by 2%, with the residential line of business increasing more than 4%. Our intentional focus on making WM a great place to build a career is leading to reduced driver and technician turnover, improving about 19% annualized, a significant improvement over last year. Repair and maintenance costs also improved as a percentage of revenue, driven by our ongoing implementation of technology-driven processes and improvements in our truck delivery schedule. Our focus and execution in these areas are leading to strong financial performance as adjusted operating EBITDA in the collection and disposal business grew $181 million in the quarter, with margin expanding to 37.4%. Finally, turning to our revenue growth. Our pricing results continue to track well. Our team continues to leverage customer-specific data and insights to deliver pricing in line with inflation alongside our margin expansion objectives. We are being purposeful in allocating our people and our assets to their best use. This approach is very evident in our residential line of business, where we've intentionally moved away from lower-margin business, while at the same time, significantly improving our safety performance, growing organic revenue and expanding operating EBITDA margin. By maintaining and growing the right volumes, we are driving long-term value and enhancing overall returns. Our volume results have trended consistently to what we saw in the first half of the year with growth from commercial collection, MSW and special waste. It is encouraging to see our key volumes continue to grow, particularly MSW, which was up 5.7% in the quarter. While the roll-off business remained soft, the declines in volume showed sequential improvement. Similar to the residential business, we're making the right volume trade-offs as organic revenue grew in the quarter and operating EBITDA margin expanded. Churn was 9.2% in the quarter, which is similar to last year and validates the effectiveness of our customer lifetime value model. Service increases continue to outpace decreases, further reinforcing our execution. We remain confident that our data-driven business decisions and technology investments are leading to greater operational efficiency and improved return on capital, which is reflected in the growth and margin performance of our collection and disposal operations. In closing, I want to thank the entire WM team again for their contributions. Their performance positions us for a strong year-end finish and sustained growth heading into 2025. And now I'll turn the call over to Devina to discuss our third quarter financial results in further detail.
Devina Rankin: Thanks, John, and good morning. Our results underscore the effectiveness of our strategy to maximize customer lifetime value and drive operating efficiency. Our success is again evident in the operating EBITDA growth, which was 11% in the quarter and operating EBITDA margin, which reached an all-time high of 30.5%. This result was at the low end of our projection of 30.5% to 31% for the quarter due to higher-than-expected recycling commodity prices. When considering about 20 basis points of margin pressure from higher recycled commodity prices, we see the 90 basis points of margin expansion is a strong result that was right at the middle of our guidance range. This highlights that margin expansion from organic growth and cost optimization met our expectations. Once again, margin expansion was driven by the collection and disposal business. Our disciplined pricing strategy, intentional shedding of low-margin residential volume, improved employee retention benefits from truck deliveries and the use of technology to drive efficiency combined to deliver 140 basis points of margin growth in the third quarter. The 50 basis point offset relates to higher incentive compensation costs. These results have been driven by robust operating -- they have driven robust operating and free cash flow growth as well. We generated $3.88 billion of cash from operations through the first nine months of 2024, an increase of more than 16% compared to the same period in 2023. With capital expenditures tracking according to plan across the business and proceeds from the divestiture of non-strategic assets a little ahead of our plan, we've grown free cash flow by 20%. Our outlook for the full year is strong, with operating EBITDA toward the high end of expectations being the driver. Total capital expenditures are expected to be $3.15 billion to $3.25 billion for the year. The increase of about $50 million from our prior guidance relates to continued progress on the development of our sustainability growth investments. Additionally, we continue to expect $145 million of investment tax credits in 2024 from our renewable natural gas projects. Putting all of this together, we're on pace to achieve the high end of our full year free cash flow guidance for the year of $2.15 billion. Our balance sheet remains strong, and we're well-positioned to fund the acquisition of Stericycle. As a reminder, we have suspended our share buyback program because of the current focus on M&A growth including the pending Stericycle acquisition and the nearly $800 million core solid waste acquisitions completed through the end of the third quarter. We remain committed to a disciplined approach to allocating capital, and we prioritize a strong investment-grade credit rating. Organic and inorganic long-term strategic growth and strong shareholder returns through dividends and prudent share repurchases. With three quarters of the year complete, we're confident that we will meet or exceed the high end of our 2024 guidance for revenue and free cash flow. And we will deliver about $6.5 billion of operating EBITDA, representing a growth rate of about 10%. This strong finish to 2024 will create momentum that we expect to carry into our 2025 plan. When you combine our solid waste growth with an increase in earnings contributions from sustainability projects and the expected benefits from adding the Stericycle business to our portfolio, we expect the year ahead to be one of standout performance. Thanks to the efforts of 48,000 plus team members across WM who are working hard to deliver on all of our strategic priorities, we're bullish about the future at WM. We want to thank the team for all they do. We look forward to delivering on our targets for 2024 as we close out the remainder of the year. With that, Livia, let's open the line for questions.
Operator: [Operator Instructions] And our first question coming from the line of Tyler Brown with Raymond James. Your line is open.
Tyler Brown: Hi, good morning. So I think back in '23, you guys did call it, $40 million of renewable segment EBITDA, but do you guys still feel comfortable that you'll be run rating somewhere around $300 million in sustainability EBITDA here in Q4? And can you guys give us any color, just big picture on how much incremental EBITDA comes from that segment in '25. I think you guys had mentioned that you would be run rating at maybe $0.5 billion by the end of '25. Does that all still seem good or has that been pushed a little bit to the right?
Tara Hemmer: So I can take this one. This is Tara Hemmer. You'll recall during our last call, $800 million is what we plan to deliver in 2027, and we had pushed that out. If you look at the earnings contribution for 2024 from the sustainability-related businesses, we're expecting that to be in the $120 million to $130 million range for 2024. And you'll recall, we had originally guided $115 million plus another $15 million coming from commodity prices in the recycling business. Related to what we expect to deliver in 2025, what we can tell you really qualitatively is a little bit of the pieces. We certainly expect higher EBITDA growth as these plants come online, not just on the RNG space, but also the recycling space. And we're going to expect lower CapEx in 2025. So when you put those pieces together, you'll expect greater flow-through. The other thing we should mention is we are expecting slightly higher CapEx for the program. Originally, we had said between $2.8 billion and $2.9 billion, and we're now expecting about $3 billion. So all in all, we do expect 2025 to be a significant year for our sustainability-related investments. It's a bit premature for us to give you all the pieces for 2025 based on where things may shake out related to the completion of the plants in Q4 of 2024. And then also, of course, we're tracking closely commodity prices. So we'll give more of an update in early 2025.
Devina Rankin: And Tyler, with regard to the segment reporting, the one thing I would just clarify is, there's some additional details that we provided in the current press release that will give color to some of the mechanics associated with the collection and disposal business and their contribution to the earnings growth of the sustainability investment portfolio that Tara talked about. And I think it's important to look at those details to see the total picture.
Tara Hemmer: And if you look at those details, what you'll see is year-to-date, we've delivered $92 million EBITDA.
Tyler Brown: And then Tara, just on the CapEx. So I think if I take the $950 million, and I think you've already spent, call it, 1.4 billion. So your already, I think, by the end of '24, call it, 2.3. So that implies maybe another $700 million. Is that mostly in 2025, so it steps down in 2025 and then a big step down in 2026? Or is that going to be maybe more pro rata between the two.
Tara Hemmer: Absolutely. You have that right. You have the pieces right.
Tyler Brown: Okay. Okay. Perfect. And just my last one, Jim. So I know you guys don't give a ton of color on the out year, but you did mention that, again, you're kind of set up for an outsized growth in 2025, and we're in the business of splitting hairs. So I just want to kind of understand exactly what you mean by that. So I think of you guys as a 5% to 7% organic EBITDA grower and then we add something for M&A and renewables. So when you say an outsized grower, is that in context to that 5% to 7% organically? Or are you just simply saying that, that growth can be north of 5% to 7% with Stericycle and renewables? Just any additional color would be super helpful.
Jim Fish: Yes. So the 5% to 7% is a number that we gave in 2019 with Investor Day, and we've actually been -- over the last couple of years, been outperforming that organically. But if you -- the reason we're as excited as we are about 2025, 2026, 2027 is that when you look at a couple of things. First of all, you look at -- you just talked through with Tara, the sustainability investments. As she said, CapEx, you had the numbers just about exactly right. We probably have about $700 million left in CapEx, maybe a little bit more than that. And most of that happens next year. So you can expect to see a pretty substantial uptick in free cash -- in the free cash flow component. And when I say most of that occurs next year, that is still lower in terms of CapEx than this year because this year is going to be call it, $900 million for those sustainability investments. Next year will be something lower than that. And then 2026 will be significantly lower than that in terms of CapEx. And at the same time, you see the EBITDA really, really kicking up. We do have most of these plants, it seems rolling on in the fourth quarter. So we're not getting the impact of EBITDA in that year. This year is no exception to that with four of the five coming online in the fourth quarter. Kind of the same thing for next year. A number of plants are coming online in the fourth quarter. But we do fully expect to see $800 million by the time we -- the first full year of that will be 2027. You add to that Stericycle, we've had 4.5 months to look at it. We're even more enthusiastic about the strategic side of Stericycle than we were when we announced this 4.5 months ago. Rafael and his team have had a lot of opportunity to look into this. In addition to looking at their core business, which we said four months ago was really just kind of a fourth line of business for us, and we now believe that even more after spending 4.5 months on it. The synergies piece, which we said initially, we thought might be $125 million over three years. We now are pretty convinced that, that's a conservative number. I don't know exactly what that number is going to be yet, and we'll give you more insight into that with guidance in 2025. But look, I mean, the best example is SG&A. We baked in about $40 million worth of SG&A synergies there in the original $125 million. And that takes their SG&A number from 22% of revenue down to 19%. We're reporting 8.9% ourselves today, so you can understand our optimism around synergies. And then John talked a lot about the use of technology. It's something that we probably five years ago, started recognizing that there was -- particularly with these trade type positions, there was kind of an impending shortage coming. And so we started investing in technology to -- when those positions would attrit away from us that we wouldn't have to replace them, that we would use technology. And hence, the investments that we've made over the last five years in technology. And those have really all started to show up. You've heard John talk a lot about, I think, you said four consecutive quarters of sub-61% OpEx as a percent of revenue. That is largely driven by our pricing programs, but also by our cost improvement on the efficiency side. You combine all of those plus still a pretty robust market out there for tuck-in acquisitions. And you can see why we're really, really optimistic. No matter what happens with the election, no matter what happens with the economy, barring a disastrous geopolitical events, we're very optimistic about 2025, 2026, 2027.
Tyler Brown: Great color. Thank you.
Operator: Thank you. And our next question coming from the line of Toni Kaplan with Morgan Stanley. Your line is open.
Toni Kaplan: Thank you so much. Good morning. Wanted to ask about the revenue guidance raise. I know you don't give guidance quarterly, but 3Q was a little bit stronger than, I guess, what I was expecting. And so was the raise driven by 3Q performance? And why not? Is there anything that leads you to expect the momentum you had in the quarter won't continue into 4Q. It doesn't sound like it. So I just wanted to understand what was going into the thought process there? Thanks.
Devina Rankin: So you're right that the third quarter was an outsized performance on the revenue line, and that and that really came from two things. It was recycled commodity prices and landfill volumes. We're optimistic that the landfill volume contribution continues into the fourth quarter. There wasn't anything specific or unusual about that growth. It's some strong market performance in kind of the Midwest part of our company and really good contribution margin from that business. The recycling commodity price piece of it is recycling brokerage contribution and with the port strike impacts that we saw late in the third quarter and some continuing uncertainty associated with those impacts going into fourth quarter. We're less optimistic that you'll see upside to recycling commodity prices continue into the quarter ahead or into 2025 at this point, it's too early for us to say. So really happy with the core business performance and the contributors from collection and disposal specifically, a little more cautious with regard to the recycling commodity price piece. So that is the lower flow-through part of the business, which is why we're still confident in the EBITDA contribution of that revenue growth.
Jim Fish: And I think, Devina, we had a little bit of an offset from lower electricity pricing that hit the top-line for the quarter. So that would tell you that -- it's part of why we were as pleased with the performance at 7.9% growth there on the top-line. I think what it tells us, as we look out to 2025, is that there aren't any storm clouds on the horizon with respect to the economy. It's so hard to tell these days. Obviously, in an election year, it's really hard to tell because both sides are kind of giving their own talking points. But we're not seeing anything that would indicate storm clouds on the horizon for us. We feel like the economy is on relatively good footing.
Toni Kaplan: Yes. That sounds great. I wanted to ask also on an update on the price cost spread and how you're thinking about how that progresses in the next few quarters? Thanks.
John Morris: Yes. Toni, I think certainly, we're pleased. As I said in my prepared remarks, we remain on track with regard to our pricing objectives for the year. A few things I would point out is when you look at the spread to our you see that CPI is down, again, about 120 basis points for the quarter and 160 basis points year-to-date. And if you compare that to our core price and yield numbers, I think it tells a good story. And then to the comments you heard from Jim and Devina and I had shown up certainly in the margin. So long story short, we feel good about the kind of disciplined approach we're taking to pricing. The customer value lifetime model we're using from a data and analytics standpoint and when you look at -- as I mentioned, when you look at the spread, it continues to show up in OpEx and in margin.
Jim Fish: And I think, too, John, the -- we've talked to Toni, a lot about 5,000 to 7,000 jobs kind of trading away from us. I mentioned it just briefly in response to Tyler's question. We're at about 2200, a little bit more than that 2241 to be precise since 2022, positions that we have chosen to not refill that left us via attrition and we've chosen not to refill those -- and we think, John, another potentially 3,000 so call it, fourth or fifth inning to use the baseball analogy is about where we are now, most of those coming out through recycling automation and then through this conversion from traditional rear load to automated side load.
John Morris: Toni, the one final point I might make is while inflation is generally coming down, we're not seeing that with our frontline wages and that's part of the reason why you hear so much conviction about the continued investments in automation and technology, whether it's core business, whether it's recycling facilities, we're still seeing 4.5% to 5.5% on general wage inflation with those frontline roles. In fact, we heard from one of our AVPs during the quarterly reviews that we're hiring technicians, and that number starts with a four now and it's going to start with a five in terms of the rate per hour. So when you look at the investments we're making to try to be a little less labor dependent through attrition, as Jim mentioned, it kind of gives us that much more conviction about those investments.
Toni Kaplan: Terrific. Thanks for the color and congrats on the quarter.
Operator: Thank you. And our next question is coming from the line of Jerry Revich with Goldman Sachs. Your line is open.
Jerry Revich: Hi. Good morning everyone. For those of us New Yorkers on the line, we'll ask for no more baseball analogies, please. So congratulations on the strong results. I just wanted to talk about the returns that we're seeing on recycling investments, is it possible just to get a sense for the savings per plant that we're budgeting in the program? What are we seeing as the plants are coming online. Typically, when you folks make these automation moves. We've seen the results of price on the upside. I'm wondering, is that starting to play out? And how should we be thinking about the per plant economics versus what you folks underwrote at the beginning of the program.
Tara Hemmer: Well, what we can tell you is we're tracking a couple of key metrics. The first and we've said this consistently, the labor cost per ton is really in that 30% improvement range and that is consistent across all of our plants. The other thing that we're seeing is roughly 17% higher blended value on the commodities we sell. We're creating a cleaner product, and this is really important. If you think about the commodity prices that we're at today and we're expecting to end the year around $90 a ton. Our investment thesis was $1.25. So getting a higher blended value on our commodities is very important, and that's been proven out. The other thing that we track is our gross operating expenses, and those are also 17% improvement across the portfolio of automation plants. And then the other point that we don't talk about as much is volume. And we are seeing a volume growth story coming out of these investments, which was a pivotal piece of what we were going to be really offering to the communities that we have these investments in. And Q3 was one of the first quarters where we've seen that volume growth because we've had some impacts related to shutdowns. So we'll see that transfer across each year. So when you stack those together, we're seeing strong margin improvement on our recycling plants across the portfolio.
Jim Fish: And that volume, Tara, is really a function of the plant processing faster, correct?
Tara Hemmer: Exactly. So plants processing faster. We're also expanding the size of some of these plants as we're building them. And it's been a great story when we look at one of the markets John is going to be visiting later today in Minneapolis, where we've seen really, really strong volume growth in that market and then also EBITDA performance.
Devina Rankin: I think it's really important to pull all of that together. Tara outlined all of the contributing factors. When we look at the thing that made us so confident in this investment strategy, it really was the payback period of the recycling investments relative to investments we make in our traditional collection and disposal assets. And we've always talked about the recycling investments being one of the best return on invested capital that we have across our portfolio. And we are seeing that not just hold, but accelerate. So we're really happy to see payback periods in that six to seven year range. And we've got confidence that with some of the outsized performance, particularly on throughput and volume, as Tara outlined, it's actually going to be better than what we had planned when we built the strategy despite the lower commodity price values.
Jerry Revich: Super. And then in terms of the landfill gas facilities that are coming online, roughly speaking of spot market economics, I think that would imply roughly $150 million to $200 million in incremental EBITDA 2025 versus 2024 from these plants. Anything we should keep in mind in terms of your contracting strategy or any other moving pieces as we think about that 2025 versus 2024 bridge on that part of the investment?
Tara Hemmer: Sure. I'm glad you brought that up because I think there's a tendency to look at the spot market prices for RINs. And just a reminder, we are taking a portfolio-based view of our RNG that we're producing. And one of the things that we outlined was to really work on contracting more of our volume. So today, we are at about 40% for 2025, and we expect to expand that over the balance of Q4 going into early 2025. And that is a mix of long-term offtake in the voluntary market with utilities and also our ability to forward sell 2025 RINs, and we've been able to do that successfully. So that gives us confidence in really any political environment, whether or not Trump or Harris gets elected, we're seeing strong forward selling on 2025 RINs.
Jim Fish: It's probably also worth mentioning that just for everyone's kind of clarification on the plants themselves, we tend to think that once the CapEx stops and once the construction is complete, that all of a sudden, these are starting to produce revenue and EBITDA. And there are multiple steps afterwards that are largely outside of our control, the commissioning of the plant, in many cases, the testing of the gas coming out of the plant and then the final step, which is EPA approval of that plant. And while we'd like to think that all of those move efficiently, it is government. So in many cases, so it doesn't always move as efficiently as we would or as quickly as we would like, which I think is a credit Tara to your team that we're able to get the -- as many plants as we have 20 plants and still stay relatively close to the time lines that we've broadcast, but there are multiple steps beyond just the construction phase.
Jerry Revich: Super. And Jim, can I ask you just one last one just to pull the thread on the Stericycle comments that you made earlier on the call. Can you just talk about over the course of diligence, what you folks think about the ability to implement lease management type pricing on that business and the ability to cross-sell. So very interesting to hear about the additional opportunity on the cost side. What do you think based on the diligence on the pricing part of equation?
Devina Rankin: So as Jim mentioned earlier, all of our diligence and integration planning processes has really spoken to our bullishness with regard to the long-term strategic outlook of this business. With regard to pricing, what I would tell you, Jerry, is this integration planning hasn't been customer oriented. It's been more about bringing the two teams together, bringing our systems and processes together and thinking about how we can use the WM way of using technology to optimize our fleet using technology to optimize the back office in order to reduce the cost of serving in that business. We'll know more once the Stericycle team is part of WM about the runway and projections on revenue growth. But we still think that the overall investment thesis holds because we think that long-term medical waste is one of those parts of the U.S. economy where we're going to see an outsized growth.
John Morris: Yes, Jerry, Devina touched on it, but I do think when you step back a little bit from it, it's there's elements of that business that fit very nicely over top of WM and if you kind of consider it a fourth line of collection business, right, in terms of trucks and maintenance and repair and labor and efficiency and all the things that we've talked to you folks about over the last couple of years, we think there's benefits down the road or we can overlay those investments and processes to drive some -- drive improvement on the operating side.
Jerry Revich: Appreciate the discussion. Thank you.
John Morris: Thank you.
Operator: Thank you. Our next question coming from the line of Noah Kaye with Oppenheimer. Your line is open.
Noah Kaye: Thanks very much. So in addition to Stericycle pending, you spent a lot on solid waste M&A this year. Can we talk a little bit about that, the types of businesses you're picking up? And then from a housekeeping standpoint, what the rollover contribution is on revenue for 2025 .
John Morris: Yes, certainly. Yes. So we've had a strong year. We closed almost $800 million of acquisitions. I think on the last call we mentioned that we probably could be in the range of $1 billion. And we still feel good about the pipeline, whether that closes in Q4, it rolls a little bit into Q1 is yet to be determined, but we feel good about the pipeline and the deals that we have teed up I think important to note, we said this on the last call, there's a handful of markets we mentioned Arizona, the Carolinas, Florida and now the most recent acquisition of Winters Brothers in Long Island. Those are both represent not only good deals for us, but in strategic markets for a host of different reasons. So we feel really good about that. They're all performing very well to date and we're focused on trying to get the next handful of deals closed here in the next few months.
Devina Rankin: And then, Noah, from a rollover perspective, we see about $150 million of rollover benefit to the revenue line, which we think will translate to about $35 million of EBITDA in 2025.
Noah Kaye: Okay. Very helpful there. And then you know what, I'll just stick with short-term modeling housekeeping, so sort of 5% total revenue growth implied for 4Q, your yield trends should probably continue to be pretty healthy. You've got probably what, close to a point here on the M&A side. So it sounds like almost you think the volume could be kind of flattish. I know you had a tough comp because I think you had some cleanup volumes last year. But we also had some storms this year that might provide some opportunities. So just kind of baseline for us how you're thinking about organic trends for 4Q and whether there would be any upside to the volume side?
Devina Rankin: So the volume story for 2024 has been one for us where the commercial collection business and MSW, which really speak to us about the general health of the overall economy has been really strong over the course of the year and consistent with expectations. The one soft spot for us has been those industrial hauls and they've been lighter than we expected and certainly, something that we hear in the marketplace about just a little more reservation on industrial investment in this environment. We think some of that could loosen up in the fourth quarter after there is clarity in the election, but yet to be determined and certainly not something that we're creating guidance outlook on. With respect to the revenue guide for the fourth quarter, it really isn't a volume story where we were reserved on top line relative to Q3, it was commodity price. And so I would tell you, the expectation is take those Q3 volumes that we saw and carry them into Q4 and early 2025 is what our outlook includes.
Noah Kaye: All right, very helpful. Thank you.
Operator: Thank you. And our next question, coming from the line of Kevin Chiang with CIBC. Your line is open.
Kevin Chiang: Hi and thanks for taking my question and congrats on a good Q3 print there. I was wondering if you could maybe provide any more color on the Canadian Competition Bureau review. It looks like it's the last one before you close on Stericycle. You've noted you feel comfortable you'll get that done in Q4 here. But just any color in terms of what they're looking at since they filed this? I think you do overlap on pharmaceutical destruction, but correct me if I'm wrong. Any color there would be helpful?
Devina Rankin: So I would say it's typical competition reviews in the Canada market, specifically, nothing that concerns us with regard to the pathway to getting to close and I just have to say thank you to all of our team members who have been working really diligently both the legal team and the Canada operations leadership in order to work through these processes. And we're optimistic that we're going to be able to get that clearance here yet in the fourth quarter and move quickly to close.
Kevin Chiang: That's helpful. And my second one here, good progress on these cost initiatives. If I look at your OpEx line items, a lot of them, if I look at it from a an intensity perspective, let's say, as a percentage of revenue, a lot of them are kind of back to where they were prior to this inflationary environment. Maybe the one thing that does stand out to me is maintenance and repairs tracking kind of mid- to high 9% as a percentage of revenue. I think we've seen that below 9% prior to the move in inflation. Just wondering if there's an opportunity to move that lower. Is there something structural there that keeps that a little bit more elevated in this new cost environment?
John Morris: Yes, Kevin, I think that's fair. And you're starting to see, I think this quarter was a 40 basis point improvement in terms of maintenance and repairs. There's two sides to that. There's the fleet side and the non-fleet side. On the fleet side, we continue to -- a couple of things are benefiting us. One is truck deliveries have been more consistent now than they've really been since sort of pre-COVID. So it's allowing us to plan more strategically for assets coming into the system and going out of the system. I will add, when we talk about -- and this is a big part of our strategy, we talk about residential automation. The configuration of that vehicle replacing a rear loader can -- that truck day one is going to be more expensive to run than a traditional rear loader. But what's important to take away from that is we look at it both from an M&R perspective, but we also look at it from a total cost of operation on a per unit basis. So when you double plus the efficiency, we may be willing to pay more to maintain a more complicated vehicle with different technology in it if it's driving overall CPU performance, which you are seeing and you're clearly seeing it in the margins. In residential, I think I'm going off the top of my head here, but we were up about 300-plus basis points for the quarter on 2.9% less volume. And so when you wrap all that together, you're right, there are still opportunities in maintenance and repairs, but we do backstop that against sort of our overall total cost of operation goals.
Devina Rankin: And year-to-date, our maintenance and repairs costs in this environment are flat effectively on a dollar basis. So it's a good indication of getting leverage off of the truck deliveries, and we expect that momentum to continue into the year ahead.
Kevin Chiang: That’s great color. Thank you very much for taking my questions.
Operator: Thank you. Our next question coming from the line of Trevor Romeo with William Blair. Your line is open.
Trevor Romeo: Hi. Good morning. Thanks so much for taking the questions here. I thought maybe it was worth going back to the strong landfill volume growth in the quarter. Total depletable tons up 4%, the MSW up almost 6%. I think that was the strongest you've seen in a while. Devina, I think you mentioned there was some strength in the Midwest. But I was just wondering if you could talk about those landfill dynamics a bit more. Was there anything kind of unusual or onetime in the quarter?
John Morris: Trevor, I would tell you, we saw a pretty consistent landfill performance through most of the organization. We pointed out there was three or four areas sort of in the middle of the country, if you will, that were the ones that drove the outside performance. One in particular is now a rail served operation that we got opened last year, and we're starting to see continued volume growth there, and that was a chunk of it. That really speaks to sort of the network planning aspect of what we do with our post-collection sites, and you folks have heard us talk about that a good bit. So one of the slugs, if you will, volume that helped us in the last couple of quarters is us opening up another intermodal facility in the Midwest. I think Jim commented too, our special waste volumes were strong and a good part of that volume was flowing through a handful of those same regions in the middle of the country.
Trevor Romeo: Got it. Thank you. That's helpful. And then just one quick follow-up on the sustainability CapEx sounds like that's going to come in a little bit higher than you anticipated earlier this year, the $950 million this year and then the $3 billion total. Just wondering, is the increase mostly related to cost inflation or something else there? Just any more details on what's driving that? Thank you.
Tara Hemmer: It's a mix, primarily on the renewable natural gas side related to cost inflation on the construction of the plants and then also some higher cost on utility interconnects and those utility interconnects are for our electrical interconnect and our natural gas interconnect. So it's really those two categories.
Devina Rankin: And then I would say the 2024 increase specifically relates to our intentional acceleration in some of the spending into Q4 as we complete these projects and accelerate the ongoing capital investment at the remaining portfolio. So that is really timing related. It's not an indication of the inflation that Tara spoke to.
Jim Fish: But we're still on track, though to -- we said last quarter, we expected by the end of this year, we would have spent about 75% of the total capital. That is still the case, almost right at 75%. And then because of the lag, of course, we won't have realized the EBITDA. We will only have realized about 15%, a little bit more, about 15% or 16% of the EBITDA of that $800 million. So that's part of why we're so encouraged about 2025, 2026 and 2027 is that you really start to see not only the EBITDA growth, but also the free cash flow growth because the CapEx really goes away after -- for the most part goes away after next year and EBITDA really ticks up free cash.
Trevor Romeo: Yes. Makes a lot of sense. Thank you everyone. Appreciate it.
Jim Fish: Thank you.
Operator: Our next question coming from the line of David Manthey with Baird. Your line is open.
David Manthey: Thank you. Good morning. It was asked earlier, and I'm not sure if I caught it, but did you quantify your expectations for the net impact from hurricanes in fourth quarter and into 2025? Or could you?
John Morris: Yes, David. There's nothing right now that we've quantified for the balance of year or obviously 2025. These storms were obviously historic in a lot of ways, but first and foremost, our people are safe. Our assets were largely untouched first and foremost. In terms of the cleanup, we continue to talk the teams across the Southeast and specifically Florida. There may be some benefit down the road here, but I don't think it's going to be similar to anything we saw with Hurricane Ian, for example. But there's nothing in our outlook right now regarding any volume we would potentially get from those events.
David Manthey: Okay. Thank you. And second, is the industrial vertical potential source of upside for you as we get into next year. So if industrial production starts growing low single digits, like maybe we saw in 2012 or 2018 coming out of a downturn, would you expect industrial volume growth to turn positive in that type of environment?
Jim Fish: It's hard to say whether it would turn positive. But certainly, this quarter, we reported negative 4.1% for the roll-off line of business that -- and we've been pretty consistently in that negative 3.5% to negative 4.5% range. It does tell us that while the overall economy has been pretty healthy. The industrial economy, not so much, and that's a good -- that's been not a good, but certainly it's been sign of that. I think you can expect to start to see that come back. Now will it go positive? Don't know. That's a big number to make up. But I would expect that we'll start to see industrial come back. And by the time we get through the election cycle, there's -- the uncertainty is kind of out of the system, then I think we could start to see the industrial economy pick back up.
Devina Rankin: And from a macro perspective, I do think some of the interest rate environment will be an interesting watch point for us with things like housing starts lagging recently. And if you could start to see some momentum there, although news out this morning isn't all that favorable. So it's one of the things that we have our eye on because this really is about the temporary side of the industrial part of the business rather than the permanent side.
Jim Fish: On the other line of business, of course, that's been negative has been residential. So -- and that's more by design and that was down 2.9% for the quarter. It's been down in that range for, I don't know, John, two years. And I think John has been asked the question before, when do you expect that to get back to more of a breakeven. If that is by design, he even mentioned it in his script that we're some of the -- we're letting some of the business go that has been underperforming business. That's been ongoing for two or three years now. John, it's probably safe to say that we could expect to get back to flat maybe in the end of '25, early '26. Is that fair?
John Morris: Yes. I mean the team has done a great job. We've got a really healthy inventory of contracts that are not performing up to par. And I think we'll continue to see -- it moderated a bit, if you look at year-to-date quarter-over-quarter a bit. But when you look, Jim, at the benefits from efficiency, safety and overall margin improvement, we're going to stay on this path until that line of business competes with the other collection lines, which has been kind of our mission since day 1.
David Manthey: All right. Thanks very much.
Operator: Thank you. And our next question, coming from the line of Konark Gupta with Scotiabank. Your line is open.
Konark Gupta: Thanks for taking my question and echo my congratulations on a good quarter. I wanted to follow up on sustainability CapEx. So just like two parts maybe there. I think if I remember correctly, your original $2.2 billion CapEx envelope was, I think, 50-50 RNG and recycling. Today, that's about $3 billion total. What's the split like between RNG and recycling there? And then I think you mentioned that 75% of the CapEx will be done by the end of this year, is 75% of the $3 billion, that's a new number or that's $2.2 million.
Tara Hemmer: Yes. So the original number, the breakdown was roughly $1.2 billion from renewable energy and $1 billion from recycling. And so today, the increased number to $3 billion the 75% is based on the $3 billion and the split is roughly $1.4 billion for recycling and 1.6 for renewable energy.
Jim Fish: Portion of that difference, though, Tara, is -- I mean, some of it's inflation, but a portion of it is, for example, in Ontario, right? I mean it's new plants. So it's not really an apples-to-apples when you compare the $3 billion to the $2.2 billion, a piece of it is that's related to inflation, but a piece of it is adding new facilities.
Tara Hemmer: Adding new facilities. That's a great point, Jim. And also, we changed the plants within the renewable energy portfolio, so the plan slightly different. And that's one of the reasons, if you go back to the Investor Day deck, we were projecting $740 million in EBITDA, and that got moved to $800 million. So it's one of the reasons why that was more contact setting if you go back to the Investor Day, but the numbers that we've outlined and the mix of plants on both sides are different.
Konark Gupta: Okay. That's great. Thanks. And if I can quickly follow up on housekeeping on margin side of things, so 3.5% was a great number for Q3. Obviously, your implied Q4 is about 30%, call it, maybe you can do a little bit better there. But exiting '24, you're looking at 30-ish kind of margin right now. knowing what you know today and like post-election, clarity, et cetera, is it fair to expect that your margins can trend sort of in line with what you have seen historically in terms of expansion in 2025 organically, excluding Stericycle?
Devina Rankin: Yes, it's a great question, and thank you for excluding Stericycle because it's too early for us to say. But so what I would tell you is over the long term, we've targeted 50 to 100 basis points of margin expansion in the collection and disposal business. And when we look ahead, all the conversation about the strong execution on efficiency and retention that have driven the best operating expense as a percentage of revenue really that we've seen in our company's history, we expect that to continue, and we expect that to be a driver of continued growth in the year ahead. So one caveat that I have to that, and it is an important one because it's larger for us than it is for our competitors, is there is the expiration of the alternative fuel tax credit in 2025. That's about $60 million of EBITDA and a 30 basis point headwind to margin in the year ahead. So the 50 to 100, I would tell you, bring down by that 30 basis points for the range. But we're targeting that same execution for 2025. And then when we look at the sustainability businesses, that's incremental upside for us. And we see the sustainability businesses -- the renewable energy business provided 30 basis points of margin expansion for us in the third quarter of 2024. And we think when we look ahead, to a full year contribution from the five facilities that Jim and Tara have talked about bringing online by the end of 2024, we see another 30 basis points of expansion from this level.
Konark Gupta: That’s great. I'll leave it there. Thank you.
Operator: Thank you. Our next question coming from the line of James Schumm with TD Cowen. Your line is open.
James Schumm: Hi. Good morning. Thanks guys. So you touched on this, but now that you've had some more time to spend on Stericycle, I'm wondering if there's a reason why this business might require a structurally higher SG&A cost structure as a percentage of sales relative to WM?
Devina Rankin: So I think it's really a great point, and it's one that we're not taking for granted. And I think it's their ERP journey is one that has gotten a lot of attention, rightfully so, both internally and externally and bringing all of their disparate businesses onto a single platform has been a significant undertaking, and we're commending them for all of that hard work and that effort. What I would tell you is that when you have that kind of an undertaking for call it, a $2.5 billion to $3 billion revenue business and you compare that to a similar undertaking for a $20 billion-plus business, that's one of the things that will be structurally different between the two. And we anticipated that when we evaluated the acquisition opportunity. That really is the one that we think stands out. The rest of it, we think there's tremendous opportunity and upside to use the WM Way, so to speak, in order to optimize SG&A as a percentage of revenue long term.
Jim Fish: Well, you've said before, Devina, that's really the ultimate comparison. Once you get past the ERP rollout, the ultimate comparison would be to one of our areas as opposed to our corporate SG&A, which came in at 8.9%. And our areas, James, operated 5%. So it's why we're enthusiastic about what SG&A as a percent of revenue can look like for us and what the synergies are associated with that. I think Tara makes the right point about -- not Tara, Devina makes the right point about the ERP and that having to get fully rolled out and there being costs associated with that. But once that is complete, then there's no reason to start that we wouldn't start to think about the Stericycle arm of our business looking more like one of our areas.
James Schumm: With respect to OCC, can you update us on the portion of the value that, that makes up in your recycling revenues? And has that changed at all with your new recycling facility upgrades?
Tara Hemmer: So it represents about 55% to 60% of our overall blended value. And what has changed over time with our automated investment is we're able to capture a bit more OCC through some of the quality improvements that we've made in our plans and move really more of our mixed paper to a higher-value product. So that's been a real bright spot for us when you think about our automation investments.
James Schumm: Thank you, Tara. And just to clarify. So OCC and mixed paper sort of office paper that all sort of -- are you saying like the fiber base is 55% to 60% of the value or just OCC.
Tara Hemmer: Yes.
James Schumm: All together.
Tara Hemmer: Yes.
James Schumm: Just OCC specifically. Okay. Great. Thank you very much. Appreciate it.
Operator: Thank you. Our next question coming from the line of Tobey Sommer with Truist Securities. Your line is open.
Tobey Sommer: Thank you. If the normalization process for fleet supply chain and employee retention has normally played out. Do you think there's an incremental opportunity for retention to improve further into next year? And I was hoping you could contrast the company's experience with what you're seeing in fleet, supply chain and employee retention and sort of labor expense in the potential acquisition targets that you look at.
John Morris: Yes, it's a good point. I think, as I mentioned earlier, the fact that we frankly have a stability in our fleet delivery schedule we haven't had in a number of years is really paying dividends, not just on total M&R as percentage or CPU, but also in our ability to really manage our asset base better and make sure that we're optimizing the number of assets we have in this case vehicles. I mentioned the one area of pressure, we still see specific to M&R and really across labor is still wage pressure. That's probably in the 4.5% to 5.5%, maybe 6% in some markets. So we continue to obviously make the necessary adjustments there. And I think the punch line is our retention for drivers and technicians is around 19%. It's a little lower for drivers, little higher for technicians. But even in that environment, we're still bringing the defection of our employees down, which is obviously having a big benefit. And then lastly, with respect to the -- some of the operations we've purchased, I mentioned a few that we've done this year. While they've been really, really well-run companies, I think one of the places we get leverage out of is what you've heard Jim and Devina I referenced, which is sort of our WM Way playbook. And we see that as a way to capture additional value when we go into even a well-run operation. But we put the strength of our supply chain, our operating team and all the tools and technology they come with. That's one of the areas we continue to see upside.
Tobey Sommer: Thanks. And with -- what are your thoughts about incremental investments into harvesting the remaining MMBtus in the company's portfolio, understanding that near-term, you've got cash uses related to acquisition-led growth that may mean it's not sort of a near-term choice.
Tara Hemmer: So we've actively looked at and we have a beat on how much landfill gas that we have that we could really convert into R&D through new investments. And it's important to note the first 20 that we built, they tend to be larger plants where we had more landfill gas. So we're taking a much more prescriptive approach on the next tranche and really evaluating whether or not we should be developing them ourselves or perhaps leveraging a partner for those. That's something we'll likely make a decision on in 2025.
Devina Rankin: I think it's really important to make a statement about the cash flow generation power of this business. While we're going to see a step change in our leverage with the closing of the Stericycle acquisition, we expect to return to target leverage ratios within 18 to 24 months of closing the transaction. And really, when you step back and look at the fact that before adding Stericycle to WM and before the step change that we're talking about coming in 2027 in free cash flow associated with the sustainability businesses, we're generating over $3 billion annually in free cash flow. And so that indicates our ability to use, call it, $6 billion over a 2-year period in order to meet the dividend and then have substantial free cash flow for the benefit of growth, for the benefit of balance sheet rationalization, it just speaks to the strong fundamentals of this business and our ability to have strategic runway in the sustainability business if we continue to see the return profile of those opportunities present themselves at the highest and best use of our funds.
Tobey Sommer: Thank you.
Operator: Thank you. Our next question coming from Sabahat Khan with RBC Capital. Your line is open.
Sabahat Khan: Great. Thanks and good morning. Just a quick question on the investment tax credits related to a lot of these investments. Our understanding is these are sort of being accrued. Is there any risk to those with the change in administration? Or just kind of if you can highlight the process to getting those paid or just guaranteed? Thanks.
Devina Rankin: Yes. So we're not thinking about there being risk associated with the change in administration. But that certainly is something that could be on the table, but it's very difficult for us to be able to project. But with regard to what we've been accruing, there's $145 million in 2024, and that's showing up both as a reduction in cash taxes and a reduction in our provision on the income statement. We see the downside risk associated with really two things. One is solely timing. And if we saw one of our projects slip into 2025 in the first quarter. We wouldn't get that [technical difficulty] the complexity of the IRA and specifically, the applicability of the domestic content rules. We've evaluated those, and we think that the team is doing all of the right work, but the devils in the details when it comes to tax legislation. And so while we think we've done the right thing, it will come down to interpretation. We've taken that that into account as well in providing our guidance, but won't be finalized within a year. That will be something that continues as we have the IRS review our findings.
Tara Hemmer: And just as a reminder, that last part that Devina mentioned, it's the difference between 30% and 40%. And so we're confident we would get the 30%. It's really just the difference between 30% and 40% on ITC.
Sabahat Khan: Great. I appreciate that color. And then just a question as a follow-up to the earlier discussion around base business margin improvement and the offsetting impact from Stericycle. I guess as you get a closer look at the business, would you come back maybe after it closes potentially Q4 reporting and maybe give a path towards how long it may take to get consolidated margins sort of back in positive territory? Or is that something may evolve over a few years? Just trying to get an understanding of how you think about consolidated margins and the journey over the next couple of two to three years or however you look at it? Thanks.
Jim Fish: Yes. I think what we'll do is -- I mean there -- I believe the last I looked, their margins are kind of in the 16%, 17% range, something like that. So -- and when you start looking at the opportunities we have with synergies. We have not, as Devina said earlier, had a chance to look at their customer base at all. So we don't know what that means in terms of cross-selling or any of the top line. But we do think that we can improve it from where it is today, their margins are today because of those things. I think it will take us at least until February to be able to assess what Stericycle we think will look like for -- obviously, for 2025, but into 2026, 2027. When we'll be able to get back to kind of 30% on a combined basis is a little hard to say. As Devina said, you do have something working in our favor, which is the sustainability businesses and then our own improvement through the use of technology, and John has gone through a lot of the operating improvements. So you've got things working in both directions. I think it's very hard to say what the margin will be right now. But I think when we get to February and we give guidance, we can give you a better idea of that.
Sabahat Khan: Great. Thanks very much for that.
Operator: Thank you. Our next question coming from the line of Stephanie Moore with Jefferies. Your line is open.
Stephanie Moore: Hi. Good morning. Thank you. One maybe high-level strategic question for me. I appreciate maybe the incremental commentary provided about the updated productivity at your new recycling facilities, whether it's productivity or throughput or the like. Is there any way you could then frame what some of these facilities are doing from a margin standpoint? Obviously, it wouldn't be completely apples-to-apples given allocating corporate costs, but just so we can think about truly what the margin differential is kind of pre and post upgrades? Thank you.
Devina Rankin: So rather than give you specific margins on the business, what I think is important is that we bring it all together and say from a return on invested capital perspective and a margin expansion perspective, we've effectively seen a 10 percentage point increase in the margin of the business post automation, and that's a really strong indication of the power of the technology. And whether that be top line growth or middle of the P&L management cost reduction, we're seeing the benefits on each part of the model, and that's about a 10 percentage point lift in margin.
Stephanie Moore: Great. That's helpful. And then just one quick follow-up. On OCC pricing expectations for the fourth quarter, what are your underlying assumptions embedded in those?
Tara Hemmer: Our underlying assumptions for our blended commodity basket in Q4 is $85 a ton.
Stephanie Moore: Got it. All right. Thanks so much.
Operator: Thank you. Last question is coming from the line of Brian Butler with Stifel. Your line is open.
Brian Butler: Hi. Good morning, Waste Management. Thanks for fitting me in.
Tara Hemmer: Good morning.
Brian Butler: Just one last quick one, I guess, on the commodity side. Now that you've kind of improved the facilities in automation, do you have a sensitivity to commodity price? So if that $85 changes, how should we think about the impact on maybe an annualized EBITDA?
Tara Hemmer: Well, the way to think about it, and we've said this previously, is about 60% of the benefit related to our automation plans is really independent of commodity prices, and that's the labor cost. That's the uplift that we get on blended values because we're producing a higher-quality product. And we're definitely seeing those flow through when we bring these automated plants online. So there's less of a sensitivity to commodity prices, but there still is a sensitivity that exists in the business.
Brian Butler: Okay. And then I guess on the automation side, on the automated routes, you talked about 800 routes over the last couple of years being automated. Can you put that in perspective, how many more routes could be automated and how long would something like that take?
John Morris: I think we've got about 11 more 100 routes that are eligible to be automated. And I would tell you, it's at least two years and probably into the third year before we cycle through all of them. But as I mentioned, I mean, from an efficiency margin safety standpoint, go down the list, we're even though we're trading off a little bit of volume, it's obviously from an investment perspective, been a fantastic effort by the team.
Jim Fish: Some of it, John, is a function of the contract itself. It's not necessarily getting the truck, but it's the contract expiration. If you've got a contract that is a three-year contract that is pick up everything contract and you're going to transition to an ASL contract that has to be negotiated by the public sector team and at the end of the existing good project.
Operator: Thank you. And I will now turn the call back over to Mr. Jim Fish, President and CEO, for any closing remarks.
Jim Fish: Okay. Well, thank you so much for your great questions today. We feel very good about the quarter. We feel very optimistic about the remainder of the year and into 2025, 2026, 2027. We're excited to be in this business at this point. But thank you very much. We will talk to you soon, and talk to you next quarter.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation and you may now disconnect.